Operator: Good morning. My name is Matthew, and I will be your conference operator today. At this time, I would like to welcome everyone to the i-80 Gold Corp Second Quarter 2024 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session [Operator Instructions]. Mr. Snow, you may begin your conference.
Ryan Snow: Thank you, operator. Good morning, everybody. And welcome to our second quarter 2024 results webcast and conference call. I'd like to remind everybody that today we will be making forward-looking statements and to please read our disclaimer slide in the presentation. I want to start with a couple of comments about production for the quarter. Production for the quarter -- yesterday, we did publish the results of our MD&A and financial statements for the three and six months ended June 30, 2024, and they can be found on SEDAR+, EDGAR and our Web site. Production for the quarter was from the residual leaching activities at both Ruby Hill and Lone Tree and it was 1,636 ounces. In addition, in the second quarter, we sold 9,361 tons of oxide mineralized material from Granite Creek for revenue of $5.9 million, as this material is sold under an ore purchase agreement, i-80 does not report the ounces. For the year, the company has sold 19,528 tons of mineralized material that has generated $9.1 million in revenue and 4,122 ounces of gold. Revenue for the quarter was $7.2 million, bringing year-to-date revenue to 15.6 million. Production from Granite Creek has been primarily oxide and sold under the ore purchase agreement so far in 2024, and we will provide more details on this later in the call. The company reported a net loss for the quarter of $36.8 million or $0.10 per share when adjusted for the impact of mark to market losses on the company's convertible debt, outstanding warrants, gold prepay and silver purchase and sale agreement, the loss was $25.8 million or $0.07 per share. During the quarter, the company continued to invest in exploration, evaluation and pre-development, with $5.1 million invested, bringing the 2024 total to $7.9 million. This investment is focused on definition drilling at our projects that will allow us to advance the technical studies to feasibility level. The definition drill program continues to produce many great assay results, a summary of which were provided in our press release yesterday and will be touched on later in this call. The first six months of 2024 have seen the company invest $15 million into the development of Granite Creek, and Matt Gili will provide additional details on the development progress later in this call. The company ended the quarter with $47 million in cash and $39 million in restricted cash. Yesterday, the company also announced the establishment of an at the market equity program. This program is a tool in the company's toolkit to provide financial flexibility over the next 24 months with up to $50 million of additional liquidity. With that, I'll turn the call over to Ewan Downie.
Ewan Downie: Thank you, Ryan. I will give an update on each of our projects. Right now, we are looking at Slide 3 of the presentation. Our plan with i-80 Gold is to convert our exploration success into operational excellence. We have constructed what I believe is one of the top quality portfolios of assets you can find in any company, all located in mine friendly Nevada, where we have now assembled projects that make us one of the largest holders of gold and silver resources in the state -- in the United States. This is a highly de-risked property portfolio, given that we have road access, grid power, many of these projects are past producing mine -- mining operations and brownfield sites that offer a clear path towards permitting and production. We have six strategically located projects in the State of Nevada. Two of these have existing permitted processing facilities, including an autoclave. We're one of three companies in the United States that has a facility capable of processing refractory ore. We have four high grade Carlin type gold deposits, five oxide open pit projects or zones and three polymetallic base metal deposits and zones that we are advancing. The company offers significant exploration upside as all deposits are open for expansion. The Slide 4 really highlights the infrastructure that we have constructed or was previously constructed at our sites. I won't go through these slides in detail, but Lone Tree is our -- planned to be our central processing facility of our hub and spoke production model. Ruby Hill, as you can see in this image, also has a production facility on-site that we are looking to convert to base metals upon the completion of a joint venture that we're working on with a third party. At Cove, we have completed the first phase of underground development and are now completing a large scale underground drill program on what I consider to be one of the highest grade development stage projects in the United States. And Granite Creek is fully permitted, we have a resource in excess of 2 million ounces and we are producing gold and developing the core deposit at that project as we speak. On Slide 5, our company is one of the largest holders of total resources in Nevada with only AngloGold and Nevada Gold Mines ahead of us. We have not yet brought our polymetallic deposits to resource status. However, we plan to following the next drill program. And we have not completed an updated resource for the Ruby Deeps deposit at Ruby Hill, which is also planned over the next 12 months. On Slide 5, what I believe really stands out in our projects are the grades. i-80 holds some of the highest grade development stage projects in all of North America and we are advancing both open pit and underground opportunities. On Slide 8, the company is entirely focused on North Central Nevada. This post stamp within the northern portion of Nevada is host to the Carlin, Battle Mountain and Getchell Trends. And this area is considered to be one of, if not, the most productive gold district anywhere in the world. In fact, Nevada Gold Mines, the joint venture between Barrick and Newmont, have all of their operations in this image. And if that company were separated from its two owners, Nevada Gold Mines would actually be the fourth largest gold producing company in the world on an annual basis. In addition to our multiple deposits that comprise over [6.5 million] -- 6 million ounces of gold in measured and indicated, over 8 million ounces inferred, combined almost 180 million ounces of silver, we do have the two processing facilities that will allow us to become a significant producer in the future. Lone Tree, on Slide 8, is our key processing facility. Strategically, this gives us a significant strategic advantage in the State of Nevada, given that over time many of the, I would say, easier to process oxide deposits have been depleted and the grade of oxide projects continues to drop. A unique component of Nevada is the fact that most of the top deposits transition to sulfide at depth, which means the gold mineralization is encapsulated in sulfides and needs to be processed through specialized facilities in order to liberate the gold. And prior to our acquiring Lone Tree, only two companies in the state had this capacity. And with the acquisition of Lone Tree about two years ago, it positions our company to become a standalone long term producer with multiple operations. We plan to feed this facility through the development of Granite Creek, which is underway; Ruby Hill, which we expect to be permitted for underground this year; and Cove, which is permitted for underground and we are doing the definition drill program. One thing that many people don't know about Lone Tree is that there is a significant open pit resource expansion opportunity with approximately 400,000 in indicated resources and 2.76 million ounces inferred, and a very significant high grade underground opportunity. This project is not part of our short term plans but it's something we will revisit in the future. Granite Creek, on Slide 9, is our most advanced project. On the image on the right strategically, it is located immediately on strikes from the Turquoise Ridge Mine of Nevada Gold Mines. The deposits sit in the same host unit adjacent to the Osgood Mountain intrusive stock shown in pink and the deposits are -- occur proximal to the Getchell or Range Front fault shown with the big white line. The Turquoise Ridge mine is host to approximately 30 million ounces of production reserves and resources. Recent drilling that's been shown on their site demonstrates that they continue to step south towards our Granite Creek property and currently, we are advancing the South Pacific zone to the north towards Turquoise Ridge. In the current program, we are completing one exploration hole currently that is a significant step out to the north on the South Pacific zone and that hole did intersect mineralization prior to reaching target. It hasn't reached the target depth yet, it's getting quite close. But prior to hitting the target depth, we did hit mineralization in the precollar and that mineralization did carry grade as was carried in our press release. Definitely another structure on the property that deserves future follow-up. The underground drill program that we've completed has yielded very significant high grade results and we have done the limited surface program this year as well. The South Pacific zone shown on Slide 10 in red is the primary deposit at Granite Creek. It occurs to the north of the current workings where the Ogee, Adam Peak and Otto Zone and actually the range front zone occur. It was delineated by following up a couple of historic intercepts north of the mine that were never followed up. The deposit does not come to surface. But at a depth of between 200-250 meters to our deepest drilling and our north most drilling, we have consistently hit very high grade intercepts with some of our deepest drilling being the widest intercepts drilled to date. The grade of the deepest intercepts in the last step out are over 15 grams per ton, which provide excellent expansion opportunity. The drilling along this structure, what we call the South Pacific fault structure going out to the north, has not been tested as you go north of hole 22-26. However, there is an old home stakehold located about 400 to 500 meters to the north that did drill through that contact and hit two high grade intercepts that we will be following up in the future. With that, the next few slides, I'll let Matt Gili, our President and Chief Operating Officer, to take you through the continued development of Granite Creek as we begin -- we just begin the first stopes in the South Pacific zone, which is planned to be the primary ore heading for the future.
Matt Gili: Thank you, Ewan. So Slide 11, Granite Creek. During the quarter, we focused on development. First half of this year was development heavy by design. We're at the inflection point in the ramp system where we branch out to include the South Pacific zone. This requires increased development footages for ore access as well as secondary escape. Additionally, significant improvements have been made in water control and water handling. With the water treatment plant fully operational and work started on deepening an existing well, Well 5, for additional dewatering capacity. We continue mining of the Ogee zone across four levels. We accessed the first production level in the South Pacific zone, level 4185, with more details on the subsequent slides. We continue to surface drilling campaign focused on infill drilling of the South Pacific zone in preparation for finalization of the feasibility study for the property. And we'll note that in order to increase the effectiveness and efficiencies of the infill drilling, we halted drilling for the surface and are repositioning to an underground drilling campaign. On to Slide 12, South Pacific zone itself. As noted, we accessed and subsequently completed the first level of the South Pacific zone. Here you see the ore control reconciliations for the level. Note these are ore control reconciliations. Grade is as expected with notable upside in tonnage. This is the uppermost level and therefore relatively small in size and we are on the first level. So no inferences about the entire zone, but very pleased this went as planned. On Slide 13, ore types. So here you can see more detail on the distribution by ore type from the uppermost level of the South Pacific, almost entirely oxide mineralization at this elevation. Remembering, high grade mineralization is sold through our ore purchase agreement, while lower grade mineralization is being shipped to Lone Tree site for leaching. And lastly, on to Slide 14, South Granite Creek and South Pacific. Here you can just see some details of the individual ore control samples by heading. And again, note, while the current elevations for both Ogee and South Pacific zones are predominantly oxide, our drilling at lower elevations does clearly show a transition to a refractory sulfide deposit in the future. All right. Thank you. Back to Ewan.
Ewan Downie: Thank you, Matt. And as most people may know, we are more interested in developing sulfide or refractory mineralization than oxide. So the fact that we got into the upper level and we achieved the high grade portion is over 0.3 ounces per ton, bodes well for the future and as Matt said, we had more tonnage than expected mine from that very uppermost level of the operation. The next slide is about the Cove project. So Cove is centrally located proximal to Battle Mountain. There are multiple mines and deposits being developed in this area. At the very north, you can see on the image on the right where our Lone Tree processing facility is, the plan for Cove is that the mineralization from Cove will be trucked to Lone Tree for processing. Buffalo Mountain immediately to the southwest is an oxide gold deposit that we hold in our portfolio, not currently advancing it, but it is something we are looking at in the future. The last -- the southmost step out hole drilled into Buffalo Mountain was a gram oxide over 134 meter intercept. Lone Tree and Buffalo Mountain occur immediately to the north of the Marigold mine owned by SSR, which is north of the Phoenix mine that is operated by Nevada Gold Mines and immediately south of Phoenix adjoining their property is the Cove and McCoy deposits on our McCoy-Cove property. The 22-23 drill program produced many significant results as we continue to provide -- to do the infill drilling, to upgrade inferred resources to measure and indicated in order to complete a feasibility study. We are completing a hydrological plan following large scale pumping that was completed in December of 2023 for full mine permitting. The first phase of underground development was put in place, completed in about mid 2023 and provides us with a platform to do delineation drilling at significantly enhanced definition, given we are closer to the deposit and that significantly reduced costs than it would be for -- drilling this from surface. Slide 16 shows the ongoing drill program. So the platform takes us around the historic Cove pit that produced over 2.6 million ounces of gold and 100 million ounces of silver. The Gap and Helen zones [from] the Cove deposit that is being drilled from underground. The image on the right in green are the completed holes and in gray are some of the rest of the program. We did drill in the area between those. It's an area where the deposits offset from each other, intersecting a significant interval of high grade or of [Carlin] type mineralization. And if it carries the grade, we hope it does, it will warrant additional drilling between the Gap and Helen zones. On the lower image on the left, it shows where the deposits are, [Cove] offer significant upside given that we have additional discoveries of polymetallic and gold silver mineralization that have little to no follow-up. And we believe there's significant potential to find additional deposits on this property with very little expiration having occurred outside of the main Cove deposit. We are also reevaluating the McCoy deposit, which is right at the bottom left of this -- of the image you see on Slide 16 and the oxide mineralization that occurs there. Yesterday, we released new results from the underground drill program that continue to confirm Cove as one of the highest grade development stage projects I think you'll find anywhere in North America. Slide 17, we'll introduce you to our flagship Ruby Hill property. Ruby Hill provides company with a dominant land position in the Eureka Mining District. It is 250 kilometers from the Lone Tree site and is host to oxide gold deposit mineralization, sulfide gold mineralization and polymetallic base metal mineralization, both Skarn and CRD. So it's a pretty remarkable property in its endowment of multiple mineral types. The projects that we are advancing most actively are the development of base metals or polymetallic base metals of the Hilltop and Blackjack zones and the Ruby Deeps deposit for sulfide mineralization in the near term. We just, in the first half of this year, completed the drill program funded by a third party in order to advance this -- the metallurgical understanding of this project as part of the due diligence related to a planned joint venture. We released the results of our metallurgical work about a month ago and are now working towards definitive documents with this proposed partner. The negotiation of these is being long but it is continuing to advance and we made good progress of late. The open pit mineralization, that's shown on the Mineral Point deposit to the north, to the -- immediately to the west of the Archimedes pit, here on Slide 17, is actually the largest gold deposit in our company's portfolio. It is an oxide gold project that hosts more than 5 million ounces of gold in all categories and 170 million ounces of silver, making it one of the largest gold silver deposits in the United States. We are currently working towards completing an initial scoping study for this project to assess the economics of this project and doing additional metallurgical work to hopefully increase silver recoveries. Slide 18, the near term plan for the property is to advance the Blackjack, Hilltop and Ruby Deeps deposits likely from underground workings. Upon completion of the planned joint venture, we would expect to sit down with our proposed partner and agree to what the program will be for the balance of 2024 and for all of 2025. We expect there to be a very significant drilling campaign to expand mineralization, both in the Ruby Deeps and the Hilltop areas, and particularly between Hilltop and Blackjack, an area that remains open and where most of the drill intercepts in that area being very high grade polymetallic mineralization. We are in the final phases of completing the permitting to allow for the underground development. The proposed program that you see on both images is for one decline to access both polymetallic base metals and gold. On Slide 19, we are also advancing the underground plan for the sulfide mineralization. So what you see in this image are the preliminary mine design for the Ruby Deeps deposit. That's the refractory gold deposit that is part of our larger plan and the hub and spoke model for the Lone Tree plant. This year, we will be completing additional metallurgical work. We will look at ore sorting and other methods to potentially look at reducing transportation costs. At Mineral Point, we're doing additional test work for silver recoveries, as I mentioned earlier, and ongoing hydrology work is being completed in order for long term mine planning. The polymetallics has been one of the true successes we realized since acquiring this project about three years ago. When we started work here, the bulk of our exploration was solely on the Ruby Deeps deposit and the refractory gold mineralization. In mid-2022, we tested a new target that resulted in the discovery of the Hilltop zone. Since then, we have defined four different known lenses to the Hilltop deposits, both CRD and Skarn along the Hilltop fault structure. It’s a northwest striking fault feature and the mineralization here remains completely open. In fact, the southmost hole we drilled into the east Hilltop zone so far was our widest intercept with over 114 meters of 9.5% zinc, 12.6 silver and elevated copper mineralization. That elevated copper mineralization occurred in several of the deepest and southmost holes that we drilled into the Skarn deposit and will be a focal target once we resume drilling later this year, early in 2025. When you look at the Ruby Hill property, though, the highest grade and largest of the polymetallic deposits is the FAD project. FAD is on the adjoining [Gold Hill] property that we acquired from Paycore, and the FAD deposit we believe is one of the highest grade polymetallic deposits anywhere in the world. Our furthest west hole drilled in 2023 intersected 9 grams of gold, 92 grams silver and over 13% combined zinc and lead over an intercept with 14.6 meters, leaving the deposit wide open along strike to the west. Our eastmost hole and the final hole of the program in 2023 intersected 3.9 grams gold, over 185 grams silver and nearly 15% zinc and lead over an intercept width of 25.4 meters, leaving the eastern extension wide open as well. It is not part of the company's current resource but we do plan in the future to advance this to resource status. And we expect this will result in a fairly significant increase in not only our gold resource endowment but also our base metal resource. The initial metallurgy work that was completed here was very positive as you can see in the lower bullet. And to date, we view -- we expect that the gold will [report] to a pyrite concentrate. So in summary, on Slide 22, we have assembled one of the top portfolios of gold deposits, high grade gold deposits in North America. To achieve our future success, our plan is to convert resources to reserves, deliver the technical studies to enhance our financing options and deliver our long term production plan. As I said earlier, the goal of our company is to turn exploration success into operational excellence. So I thank you everybody for attending the conference. And we will take a few call -- questions here. And following that, people are welcome to call the company at their convenience.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session [Operator Instructions]. And your first question comes from Don DeMarco of National Bank Financial.
Don DeMarco: My first question has to do with Granite Creek. So we continue to see oxide ore sales and that's great. And the work at the South Pacific zone looks very encouraging and the read through there of course is increased tonnage as they refractory sulfide ore, but just to try to quantify some of that a little bit. How do you expect the toll milling of the refractory ore to trend over the next few quarters? And revenue so far remains somewhat modest. Is this a potential material source of liquidity if you can get that SPZ zone up and running and the toll milling, the refractory at higher levels than currently?
Ewan Downie: I'll pass that question over to Matt Gili, who heads up our Nevada office and our operations and allow him to answer that question for you, Don.
Matt Gili: So I mean, when I think of your question, Don, I'm thinking that we are we are currently in the oxide, predominantly in oxide mineralization and that is sold through the ore purchase agreement. You're correct in that as we progress into the refractory materials then we transition to a toll milling agreement, which has slightly better terms. And this is certainly the future for the property and for our efforts. The little bit of history there is that when we acquired the property, they had completed -- very successfully completed the gold assaying sampling but they hadn't really done a lot of work on the oxide refractory split. So all of our drilling which is deeper is clearly delineates a refractory deposit. Right now, we're in the portion of the property where we'd understand the gold, great, but we don't really understand all of the details on the oxide refractory split. So right now, we're predominantly oxide. We're transitioning into refractory. The first quarter by design and as I touched on in the narrative was really very development heavy. We understood that going into this year. The second quarter started off a little rough with some water and June really ramped up significantly and as forecast. So that's kind of where we're sitting, Don. I'm not -- I can't really provide you with too much details. We don't provide guidance. But this is the trends that we're seeing going forward.
Don DeMarco: Yes, because I think I saw in Q2 from Granite Creek, it might have been $6 million in revenue. Are we looking at a potential 1 or 2 times that amount after they get somewhere or is it magnitude and any color on that would be helpful?
Matt Gili: [Multiple Speakers] being really cautious because we don't provide guidance by design. But we are -- I mean, we are certainly in the ramp. When I -- from where we are with the mine plan, both in the budget and in the April forecast, it clearly shows that we are accessing more ore levels. The June production was significantly higher on 8 ore tons per day than our previous yield in the year to date. So we're in that ramp up. And again, it's a function of number of ore headings. The number of ore headings is a function of development. So really the critical path for Granite Creek is development, which we focused on in the first quarter. And one of the enablers for development is dewatering, which is the other thing that we're really focused on in the first half of this year.
Don DeMarco: Just shifting over to Ruby Hill, it seems like there's been good progress on the JV. But can you give maybe a little bit of color on the reason for the delays? And would you expect this finalizing this JV to be an H2 item or 2025?
Ewan Downie: The delay on the JV is these -- when you're working trying to work out a partnership with another company to come in and earn in on what your flagship asset, it's very important to make sure that the deal is done right. If you recall what happened to Premier with our partnership that wasn't so smooth and we ended up -- it actually essentially ended up stalling the project. We want to ensure that everything is considered prior to entering into a partnership again in order for that to be an unlikely scenario in the future [Technical Difficulty] when we did press release and we didn't intend to actually press release that we signed the term sheet, but we did so because there was [Technical Difficulty] [requirement] for us to be able to complete financings, disclosure around financing that we were planning to complete. And when we put out that press release, we stated specifically that it was subject to metallurgical due diligence. And that involved the drilling campaign that took about four months given that Christmas happened in between and everything shut down to complete and subsequently the material from that drilling was sent to labs in order to complete the metallurgical work to ensure that the polymetallic mineralization here is recoverable, which was an important component for our planned partner to come in and work with us on this project. We released our results about a month ago, which we believe were highly positive. And now we are working on the final documentation for that partnership and expect that hopefully to be completed in well before the end of the year, Don, that would be our [estimate]. But, again, as you're negotiating terms, you got to make sure it's right. But right now, I believe that everything -- most of the major issues have been dealt with and we're working through the legal documentation related to that.
Don DeMarco: And then final question. So it's been a few months since the AGM when you announced that you'll be passing on the CEO title to someone else. And can you just give us an update on this process or maybe additional color behind your decision or what the potential timing of this might be if that information is available at this point?
Ewan Downie: I think my -- the original plan for CEO succession was put in place about two years ago. So two years ago, I -- as you know, Don, I'm more of an explorer than a developer. I'm not exactly, I don't think, known as being a mine builder and having constructed or operated multiple operations, though, Premier was a producing company. I think we've taken -- I've taken this company, we've had huge success in exploration. But in order to achieve the next level for this company, I fully believe that it is important that we increase our operations capacity in the upper levels. And that was part of the decision but also some ongoing health issues that I have to deal with at some point. So it's something that we did press release but it is a plan. But right now, I continue to be the CEO. But at some point, I expect that there will be a transition.
Don DeMarco: Well, thank you for that. We certainly wish you the best in the process and whatever other issues you might be dealing with. But thanks again and good luck with the rest of Q3. All the best.
Operator: And your next question comes from Justin Chan of SCP Resource Finance.
Justin Chan: Maybe if we could go back to the slide that showed the long section of the South Pacific zone. I was wondering if you could maybe talk us through where you're mining now and I guess what the next -- what the rest of the year looks like in terms of what's in the mine plan?
Ewan Downie: So I think you talked about Slide 10. So here on Slide 10, you can see the very, very upper part where -- essentially where the row -- the word open is, is where we drifted over and access the top, very, very top portion of the South Pacific zone. The decline is going to depth in both -- into the Ogee zone. And as we go to depth, we are drifting over on multiple levels into the South Pacific. And with each level as we go deeper we are expecting the strike length to increase. So on Slide 11, it's really in the upper red part, above that sort of upper red flat part. And then as we go down, because it's a bit of an oblique view, as we go down, we expect to get more and more mineralization. We do expect to expand on that image because there are intercepts outside of these shapes that with definition drilling we believe will become mineralized areas for future development. And as Matt Gilli said earlier, to get the definition required for this drilling, we're finding that from surface it's quite costly. We have a lot of deviation in drilling and we are implementing an underground platform in order to provide us with a much better platform in order to complete the definition and expansion drilling front.
Justin Chan: And maybe just as a follow-up for -- I guess, for Q3 and Q4 in terms of -- what are you expecting in terms of ore volumes, maybe others ore sold or do you think you'll be kind of getting into areas where you'll be -- I guess for the sulfides, will you be reporting forward ounces or will it still be ore sold similar to -- I think this quarter was about 50-50 oxide sulfide?
Ewan Downie: For the gold that comes off the two existing residual leach programs that is gold sold and the refractory mineralization under our current contract is where we received the gold. So it is reported as gold ounces. And we do expect that to ramp up significantly quarter-on-quarter going forward as we get more and more South Pacific zone mineralization and go to depth in that zone. Oxide, I would expect to sort of remain more consistent going forward given that we do expect more and more sulfide going to depth. But as Matt said, the more headings we get put in place and the more available [phases], the more mineralization we'll be getting week on week and month on month, and that ramp up is occurring as we speak.
Justin Chan: So I guess maybe just zooming in on say for this quarter is about 10,000 tons. I guess, could you give us any steer on what you think for Q3 and Q4?
Ewan Downie: As Matt said earlier, we don't provide official guidance as yet because we haven't declared commercial production. So I would say we just expect it to improve as we add the headings.
Justin Chan: And then maybe just one in terms of the plans at Ruby. I mean, is it fair to characterize that you're -- I mean, is it fair to characterize that now it's most of the [DD] work has happened and it's just about negotiating final terms or -- just trying to get a sense of what you think the key milestones are for that agreement going forward, what potential timing might be?
Ewan Downie: It's just -- right now, it's really down primarily just to negotiating definitive document structure, tax structure, things like that. Also, because there's both gold and polymetallic mineralization, we want to ensure that gold production from the operation is also a focus, not just the base metal. And the incoming partner, I would say, is more focused on base metals. So it's just getting a right balance for that. All commercial terms though have been negotiated and completed.
Justin Chan: Do you think -- I mean, high level, I know these things take -- lawyers aren't easy. But I mean is it something that you think is likely to be this year or maybe early next year? Just trying to get a sense of timing on that.
Ewan Downie: I would like it to be next week. But as you said, when there's two sets of lawyers working on documents, things can go back and forth quite a bit. And we've been seeing a lot of back and forth on different points and then arriving at a conclusion within those points. But really it's -- if it went into next year, I'd be very, very shocked.
Operator: And your last question comes from Spencer [Leman].
Unidentified Analyst: With the price of gold hitting new highs, it looks like a lot of M&A is heating up, and you probably saw the Osisko Mining buyout yesterday. Just wondering if -- was your price getting so cheap that you consider possibility of a friendly or even unsolicited takeover rather than the joint partner way?
Ewan Downie: It's hard to comment on M&A. I'd say in our industry, the lack of new discoveries in recent years has created an environment where larger companies who are seeking to pad their reserves and resources for the future are always on the lookout for projects. A good example, I guess, was Osisko yesterday. We have, as we showed in really the, Slide 3, the first slide of our presentation, we also, in addition to having our sulfide deposits that we focus the most attention on, we also have significant oxide projects and we also have the polymetallic. So our company is diversified. But we do have several open pit oxide projects that we don't carry in our corporate presentation and obviously talk very little about today. However, those projects have attracted in the past and continue to attract a lot of attention. And we're constantly talking to other parties about what to do with some of these assets. There is a possibility we could sell some projects within our portfolio. And there's always interest, especially in a place like Nevada of larger companies to take a look at what people have. I wouldn't like to see a proposal for our company at these levels, as you said, of late, especially we've been at depressed levels as we've had to finance our business. But given our significant resources and one of the safest jurisdictions in the world, I think we offer tremendous value, and right now isn't the time for us to be considering M&A for us to disappear. So I hope that answered your question.
Unidentified Analyst: Well, yes. I know it's a difficult thing to discuss. But I'm just curious whether the joint partner -- from the standpoint of the shareholders, is a joint partnership going to work as well as maybe just a straight buyout or takeover based on the price of gold now, but you answered that well and thank you for that.
Ewan Downie: Thank you for your question, Spencer. And feel free to call our office and talk to, Matt, Ryan or myself and we can discuss further if you have more questions or whatever. We're quite open for calls and we're butting right up against our time. So we have to -- that has to be our last question. But everybody who attended, thank you very much. And please feel free to reach out to us if you have any further questions.
Operator: Ladies and gentlemen, this concludes today's conference. We thank you for participating, and ask that you please disconnect your lines.